Operator: Good day, ladies and gentlemen and welcome to the Buenaventura Second Quarter 2017 Results Conference Call for Buenaventura. [Operator Instructions] At this time, it is my pleasure to turn the floor over to your host, Barbara Cano with MBS Value Partners. Ma’am, the floor is yours.
Barbara Cano: Good morning and welcome everyone. Presenting on the call today is Mr. Victor Gobitz, Chief Executive Officer. Also present and available for your questions are Mr. Carlos Galvez, Chief Financial Officer; Mr. Gonzalo Eyzaguirre, Chief Operating Officer and Mr. Roque Benavides, Vice President of Business Development. If you have not yet received a copy of the earnings press release, please visit www.buenaventura.com, where a webcast presentation is also available to accompany today’s discussion. Should you need any assistance, please contact MBS Value Partners here in New York at 212-661-2232. Before we begin, I would like to remind you that this call will include certain forward-looking statements. These statements relate to expectations, beliefs, projections, trends and other matters that are not historical facts and are therefore subject to the risks and uncertainties that might affect future events or results. Descriptions of these risks are set forth in the company’s regulatory filings. Statements made on this conference call should be considered together with the cautionary statements and other information contained within the company’s earnings release dated April 27, 2017, as well as the information contained within the company’s most recent periodic reports filed with the BVL. With that, I will now turn the call over to Mr. Victor Gobitz, Chief Executive Officer. Mr. Gobitz, please go ahead.
Victor Gobitz: Thank you. Good morning to all and thank you for attending this conference call. We are pleased to present our second quarter results of Compañía de Minas Buenaventura. We have prepared a short PowerPoint presentation, which is available in our webpage. Moving on to Page 3. Second quarter highlights were as follows: one, production remained in line with the annual budget for most of our mines; two, Tambomayo showed steady improvement in the ramp up process; three, El Brocal reported its third consecutive quarter of positive operating performance and financial results, despite challenges in the processing plants; four, we have started a comprehensive de-bottlenecking program at Buenaventura’s direct operations and subsidiaries to maximize value; and five, at Cerro Verde, the syndicated loan has been refinanced with subsequent repayment of shareholder’s loan. Moving on to Page 4, financial highlights. Total revenues in the second quarter of this year were $256.7 million, which is 10% lower in comparison to a year ago. EBITDA from our direct operations was $56.5 million, which is 48% lower in comparison to a year ago. EBITDA including our affiliates was $110.2 million, which is 40% lower in comparison to a year ago. And our net income in this second quarter was negative minus $6.2 million in comparison to a year ago when the result was $55.5 million. In the following slides, the reasons for these results will be displayed. Moving on to Page 5, we will use the capital B, the logo of Buenaventura, as a visual index in the following slides. As you can see, by using the capital B, we summarize Buenaventura’s portfolio of operations in the upper part and its portfolio of projects located in the lower part. And through these three different scholars, we differentiate our gold, silver and various metal assets. Moving on to Page 6, attributable production. In terms of gold production in the second quarter, it was 145,000 ounces, which is 5% lower in comparison to a year ago. In terms of silver in the second quarter, it was 6.7 million ounces, which is 13% higher in comparison to a year ago. In terms of copper in the second quarter, it was 29,000 metric tons, which is 7% lower in comparison to a year ago. And in the case of zinc in the second quarter, it was 13,000 metric tons, which is 1% higher in comparison to a year ago. Moving on to Page 7, the all-in sustaining cost in the second quarter was $812 per ounce of gold, which is 33% higher in comparison to a year ago. The cost applicable to sales in the second quarter was for gold $797 per ounce, which means 24% of increase in comparison to a year ago; for silver, $11.48 per ounce, which is 1% higher in comparison to a year ago; for zinc, $0.89 per pound of zinc, which is 13% higher in comparison to a year ago; and for copper, $1.56 per pound of copper, which is 35% higher in comparison to a year ago. Moving on to Page 8, we are going to explain the reports and projections for each one of our gold assets. In Orcopampa, the production was 47,000 ounces, which is 2% lower in comparison to a year ago. However, for Orcopampa, we have increased our annual production guidance based on the access to leave underground areas higher gold content. So, we expect a better second semester. Regarding La Zanja, Coimolache and Yanacocha, these three assets are located in Cajamarca in the north of Peru, where our country suffered heavy rains due to El Nino, which meant lower production, limited access to new areas and higher consumption of [indiscernible]. However, in all these three assets, its annual production guidance has not changed. So, we expect also a better second semester. Moving on to Page 9 to explain the Q2 results in Tambomayo. In Tambomayo, our new gold mine production was 12,000 ounces of gold and specifically in June, the gold production was around 5,000 ounces, which means that the ramp up process is going well. We maintained our last annual production guidance in the range of 60,000 to 90,000 ounces of gold. The processing plant has reached 1,000 tons per day of treatment capacity and by August, we expect to achieve 1,600 tons per day. The main challenge in Tambomayo is still the filtration system for paints, where we have installed 2 operation filters, with a capacity of 500 to 600 tons per day each. So we complement our current requirement of filtration capacity using [indiscernible]. We have also bought a new filter with a capacity of 1,500 tons per day to be installed in the third quarter of next year. Moving on to Page 10, we are going to explain the results and projections for each of our silver assets. In Uchucchacua our production in the second quarter was 4.3 million ounces, which is 10% higher in comparison to a year ago. Since June, we have decided to increase the underground production of mine of Uchucchacua from 3,900 tons per day to 4,600 tons per day despite that the current processing plant capacity is just 3,900 tons per day, because the excess of 400 tons per day is the increases at Mallay’s processing plant, which is located just 30 kilometers away. So through these synergies – this synergy we have increased our profitability of these two assets. Particularly in the case of Mallay mine, we have decided to produce from the stocks located above the 4,090 meter level to avoid significant damage from areas located below this level. In the case of Julcani, we have decided for safety reasons to change its mining method. So we have reduced the underground production from 600 tons per day to 400 tons per day. But at the same time, we are increasing its ore grade from 15 ounces to 18 ounces of silver per ton. Therefore we intend to create a more profitable business model for Julcani. Moving on to Page 11, in the case of Cerro Verde, Freeport has announced that its annual production guidance hasn’t changed. So we also expect their results in the second semester. In the case of El Brocal, during all the second quarter the gold mill with a dimension of 20 feet/30 feet was offline due to electrical problems in its model. In August we are starting a smaller standby unit with which we will establish full capacity in the processing plant. Let me highlight that when the main gold mill come back online in the fourth quarter of this year, El Brocal will gain redundant capability through its processing plant. Moving on to Page 12, debottlenecking program, we have hired an underground expert Nick Mosenthal [ph]. Nick is a mine engineer with more than 34 years of underground experience in South Africa, Australia and Europe. And he is leading our team in order to design a comprehensive program to improve our underground infrastructure as a straight forward away to increase efficiency and productivity of our mines. In the case of Tambomayo, the main opportunity to improve backfill system changing from rockfill cemented to paste fill cemented. In the case of Orcopampa, the main opportunity to improve its ventilation system in order to speed up its mine development. In the case of Uchucchacua, the main opportunity is to improve its drainage system also in order to speed up its mine development. In the case of Mallay, we are taking advantage of its location close to Uchucchacua and since June we were implementing synergies into these two mines. In the case of Julcani, we are increasing its profitability, reducing its volume and increasing its ore grade. And finally in the case of El Brocal, specifically in the case of our Marcapunta North, our underground mine we are implementing an expansion in terms of copper production. We have found an opportunity to improve its current mining method. Moving on to Page 13, thank you for your attention. I will hand the call back now to the operator to open the line for questions. Operator, please go ahead.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] And our first question comes from Botir Sharipov from HSBC. Botir, state your question.
Botir Sharipov: Hi, thanks Victor. Hi Carlos and team. Congratulations on having the Cerro Verde term loan refinancing getting your loan back. Couple of questions for me first on this question that’s on many investors mind I think is the with Freeport basically outlining a number of projects outside of the Cerro Verde that they would like to invest in the next few years and Cerro Verdo refinancing term loan, how should we think of the free cash flow coming out of Cerro Verdo which seems to be pretty high these copper prices, can we expect the dividends in the second half of this year and going into 2018 for the next couple of years?
Carlos Galvez: Well, this is Carlos. Botir, how are you. The refinancing of Cerro Verde is a natural improvement of the liquidity and facilities for continue operating and developing provision operations in Cerro Verde. What they would like is to have this strong position in order to face this – the possibility of negative resolution of the Supreme Court regarding these royalties. So what they have is a good liquidity position. They have room to increase cash required from these financial facilities. Yes, in case there is negative resolution, they have to pay royalties. This is the first use of proceeds. Secondly, the internal or conservative message is that they would like to pay the debt as soon as possible as it has been announced in the past. However, you know that the term has been extended from 2019 maturity to 2022 and this is what an operation with such an important life of mine should maintain. So I hope we expect that Cerro Verde will be in the future prefer to payout cash dividend.
Victor Gobitz: Yes. Let me add yes, that at the Board level we didn’t discuss these topics yet.
Botir Sharipov: Okay, thank you. A quick one on the volumes, it look – comparing consolidated and sold volumes looks like you guys sold less gold, zinc and lead than you produced, is that a fair assessment and can we expect that metal to be sold in the coming quarters?
Victor Gobitz: Yes. Well, it is important to mention that from Tambomayo that we produced accumulated 12,400 ounces of gold. We have already sold only 4,500 ounces or something like this. You know that when we obtain in mine is doré bar [ph] that it contains in excess of 80% silver and the complementary part is gold. So we are trying for this doré bar to our local refinery to refine gold and silver. And then we export the refine gold. In this process we kept about 8,000 ounces of gold with margins at this point in time is something about $10 million that we have not reported due this hold in production. On the other hand we had an extended maintenance process in Rio Seco, which is a plat where we leach the lead, silver concentrate of Uchucchacua and we kept about 3,000 tons of concentrate in excess of what should have been our inventory. And this is in the order of $3 million value. So margin, I mean and this is – and they are this impacting our P&L.
Botir Sharipov: Okay. Thank you. And the last one on El Brocal you mentioned that you have improved recovery, can you maybe give us your current recoveries for all metals?
Roque Benavides: Yes. Good morning. Yes, we have improved the recoveries in copper. Last year we had recoveries of near 90%. Right now we are obtaining recoveries of 93%, 94%. And in silver also we have improved the recovery for – in this case for 1%. And in lead we have improved the recovery from 50% to 60% in the last quarter. And that improvement was because we changed the way that we have floatating the materials in process plant. What we are doing right now is using bulk floatation.
Gonzalo Eyzaguirre: Yes. But let me comment there, the question is that the silver recovery in the lead concentrate increased to 49% – to 50%, but it was 22%, 23% in the lead concentrate. The balance in the past was recovered in the same concentrate and everybody knows that the silver content is well paid in the led concentrate more than in the zinc concentrate and this is the actual improvement.
Botir Sharipov: Thank you. That’s all for me.
Operator: And our next question comes from Carlos de Alba from Morgan Stanley. Carlos, state your question.
Carlos de Alba: Yes. Thank you very much everyone, Victor and Carlos. Victor, you mentioned that you expect the second half of the year to see a recovery in production and therefore the annual guidance for some of the mines, most of them probably have been reduced even though it was a little bit below expectations in the first half and obviously in the second quarter. And you also mentioned that part of that would come from higher grades, is the company like high grading some of those mine, is this sustainable, what does this mean for 2018 and beyond production at some of the mines where you are going to see higher grades in the second half of the year, I mean is this part of your traditional and medium to long-term mining plan or is this just a short-term strategy to recover some of the output that was lost in the first half. And then second maybe for both Victor and Carlos, could you tell us what will be your expectation for the – what is the early expectation for a potential due in [ph] payment in Cerro Verde? Thank you.
Victor Gobitz: Thank you, Carlos. Regarding your first question, we expect to increase these grades in the medium term specifically in the case of Orcopampa. I mentioned in the past this new areas called Pucará Pucarina. This is a new area with high grade, so we are very confident to maintain this level of production, a new level of production for Orcopampa. And in the case of Coimolache, specifically we also in the second semester, we have access to a new area called Ciénaga Norte. We also expect to keep this new level of production in the case of Coimolache, Tantahuatay. And certainly, in the case of Uchucchacua, there is a potential production increase through this integration with [indiscernible] and also through the integration with the Greenfield project called Yumpaq. So to summarize in most of these cases, we expect to keep this difference, this increased production in the medium and long-term.
Roque Benavides: If I may add, Carlos in the case of Coimolache with grades from Ciénaga Norte moving the same volumes we are going to have lower cost on these operations. So we are going to reach our production objectives in finance in the gold content with lower cost which is important. And as it was mentioned in Uchucchacua, by using the high grades we have in Uchucchacua using the floatation plant of [indiscernible] is the best results that permitted to use the cash flow from something $11 plus to $10 per ounce of silver.
Victor Gobitz: And Carlos your second question was regarding…
Roque Benavides: Well, as Victor mentioned this is a topic that has bee discussed on the board of Cerro Verde, but we see very clear that you have long-term debt that permits you to operate and to generate a free cash flow that is not permitted with our requirements of CapEx. This will be very positive indication that it would be paid this – but nothing to confirm.
Carlos de Alba: Alright. Thank you very much.
Victor Gobitz: Carlos, if I cannot regarding the first question I need to mention Tambomayo, let me share with you my optimism about these gold assets. Carlos?
Carlos de Alba: Yes, I am here.
Victor Gobitz: Okay. I said that clearly in the case of Tambomayo we are very confident that Tambomayo is an underground mine with long-term profit or life. So we have solved this problem, this bottleneck in the filtering system for tailings. But clearly Tambomayo will be also a significant asset with long-term and very profitable of Buenaventura’s portfolio.
Carlos de Alba: Alright. Thank you very much for that Victor and Carlos. And just maybe a follow-up while I am at – on Page 12 you have the de-bottlenecking program, is it possible for us to have a sense of how much either volumes, cash flows or a metric that we can try, you expect to generate from this program and when do you expect to start seeing delivering some of the results?
Victor Gobitz: Carlos, thanks for your question. Obviously, it’s in an early stage but here Gonzalo will explain in more detail what’s the program.
Gonzalo Eyzaguirre: Yes. We have started this evaluation, right now I don’t have a number for the improvements, but we have a list, a very long list and probably in three months we are going to have that measure of how much each of those improvements will makes us to our EBITDA. And right now we are also restructuring the teams that are going to be following these specific projects and this is going to happen in the following weeks. So in three months, I can have more details about the benefit of these projects.
Carlos de Alba: Thank you, Gonzalo, Victor and Carlos.
Victor Gobitz: Thank you, Carlos.
Operator: Our next question comes from Felipe Hirai with Bank of America. Felipe, state your question.
Unidentified Analyst: Hi, good afternoon everyone. Actually this is Karel [ph], I have a question on growth in Yanacocha, we saw your mention on Quecher on the sulfide deposits and in the press release we also herd Newmont’s comments on the conference call, but we would like to hear your takes on what’s the potential there in terms of production, CapEx for both Quecher and eventually the sulfide, the explanation of the sulfide deposits over time and any timing on that would also be great? Those are my questions. Thank you.
Victor Gobitz: Thank you for your questions. Let me start saying that we are working closely with the new Senior Vice President of Newmont [indiscernible] in this program. And clearly, there are three different projects that are interconnected, Quecher Main, the sulfide project, but also the updated version of the pressure plant. As I said, we are working closely with Newmont in the development of these three different and interconnected projects. Specifically in the case of Quecher Main, we expect to achieve the approval of this project in the last quarter of this year. The CapEx for Quecher Main is in the range of $300 million and we’ll extend the life of mine of until 2025 with the annual production in the range of 200,000 ounces of gold. And specifically in the case of the sulfide project, which is located in the current footprint of Yanacocha, it’s part of – or we are working also together with them, it’s more related to our metallurgical process. And probably, he is here, Raul Benavides, he is the Vice President in terms of all our portfolio operations. Raul, probably you could some comments about these copper projects.
Roque Benavides: Well, we have some copper in Yana Verde, what they call, Yana Verde. The issue with Yana Verde is the arsenic, but we also are getting into the underground in Chaquicocha. The people from Newmont are agreeing that we should go into floatation and have a posterior autoclave installed in Yanacocha. This is a project that has been starting right now. It’s in the early stages in the conceptual engineering, but we think that Yanacocha will have in the very medium term of floatation plants with an autoclave, so that they can trim conflict source that today are not possible to be treated in the gold mine.
Unidentified Analyst: Yes, that’s great. Sorry, I was on mute here. That’s great. Very clear. Thank you very much for your answers.
Roque Benavides: You’re welcome.
Operator: [Operator Instructions] And there appears to be no further questions.
Victor Gobitz: Okay, thank you. I am ready for my closing remarks.
Operator: I would like to turn the call over to management.
Victor Gobitz: Okay, thank you. As closing remarks, let me say that as a team we are committed to reach the 2017 targets, which means the achievement of commercial production for Tambomayo in the third quarter of this year, the development of the de-bottlenecking program for our underground mines in order to achieve its full potential, and three, a stronger second semester in terms of production and low [indiscernible]. Finally, thanks again for having joined us. Operator, you can take over the call.